Operator: Good day and welcome to the BlackBerry second quarter FY '16 conference call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Joe Del Callar. Please go ahead, sir.
Joe del Callar: Thank you, operator. With me on the call today are Executive Chairman and CEO, John Chen and Chief Financial Officer, James Yersh. After I read our cautionary note regarding forward-looking statements, John will provide a business update and James will then review the second quarter results. We will then open up the call for a 30-minute Q&A session. In order to let as many people as possible ask questions, please limit yourself to one question. This call is available to the general public via call-in numbers and via webcast in the investor relations section at BlackBerry.com. A replay will also be available on the BlackBerry.com website. Some of the statements we will be making today constitute forward-looking statements and are made pursuant to the Safe Harbor provisions of applicable U.S. and Canadian securities laws. We will indicate forward-looking statements by using words such as "expect", "will", "should", "model", "intend", "believe" and similar expressions. Forward-looking statements are based on estimates and assumptions made by the company, in light of its experience, and its perception of historical trends, current conditions and expected future developments, as well as other factors that the company believes are relevant. Many factors could cause the company's actual results or performance to differ materially from those expressed or implied by the forward-looking statements, including the risk factors that are discussed in the company's annual information form, which is included in our annual report on Form 40F and in our MD&A. You should not place undue reliance on the company's forward-looking statements. The company has no intention and undertakes no obligation to update or revise any forward-looking statements except as required by law. I will now turn the call over to John.
John Chen: Thank you, good morning, everybody, and welcome. I will take you through the summary of the Q2 results and highlights and where we are making progress on our strategy and then I will discuss the key development and area of focus we're driving towards near term and long term objectives. So first, a summary of the quarter's results. Everything, by the way, I cover here will be non-GAAP based. James will then cover the detailed financials later. Total revenue was 491 million, with an EPS loss of $0.13. We generated positive cash flow of 100 million, and positive EBITDA of 68 million. This was a sixth consecutive quarter of the positive free cash flow and seven consecutive quarters of the positive EBITDA. The total cash balance now increased to 3.35 billion, from 3.32 billion last quarter. The net increase of 37 million takes into account already the 47 million of cash used for the stock buyback last quarter. Excluding IP licensing, our overall software business continues to expand, up 19% year over year and 9% quarter over quarter. Software license revenue grew 33% year over year, and 14% quarter over quarter. This represents the fourth consecutive quarter of double digit year over year growth in software licensing. BES 12 software and QNX were the largest contributors to the growth in the quarter. We booked a total of 2,400 software transactions in Q2. The notable customers include Airbus, Berenberg Bank, TD bank, Peugeot, Herbalife, Nippon Express, Siemens, Vitseon and LG electronics. We made good progress moving our software business from perpetual to subscription with AtHoc, which recently closed, I think this week, and Good Technology which is pending closure. We will increasingly shift our revenue mix in this direction. I am encouraged that we continue to deliver positive free cash flow, EBITDA and software growth. These are all key to achieving sustainable profitability going forward. That said, I'm not satisfied and I'm sure James shares the same sentiment, that where we are in the overall revenue, and profitability, especially the performance of our handset business. If you recall, in my opening remarks, I alluded to the fact that software license revenue is growing faster than the overall software. This is a function of our T support business. A portion of the T support is declining due to the legacy BBOS user base, but more importantly, we have a shift from perceptual to subscription is -- and also provided a negative drag to that because the subscription - in subscription-based the maintenance is now, actually -- in the subscription revenue. Sorry. To address these issues, we are focusing on three main areas. One, growing the device volume profitability. Two, generate recurring revenue from the IP licensing. And three, making our software business larger. So I will take you through each and every one of them. To address the device growth and profitability, we are launching our new slider phone later this calendar year. I'm confirming today much leaked rumor that an Android phone, differentiated by BlackBerry core strength and security and productivity, and will have access to the Google play app systems. This phone -- we are announcing that phone today. I suppose I'm sorry for my English. I didn't write it down correctly. This phone is the answer for former BlackBerry users who missed the physical keyboard but also need apps. By the way, it also has a curved all touch screen. So we announced this morning that the name of the phone is Priv, spelled p-r-i-v, which is derived from the BlackBerry core mission of protecting our customer's privacy. So Priv is really for the privacy and privilege. That's how we thought about it. When you manage this device, using Android for work on BES 12, you have the most secure Android device broadly available in the market. It also highlights the ability of our EMM platform to secure a cross-platform device in the enterprise. On the BB10 front, we shipped 10.3.2 last quarter with new features added to the BlackBerry Protect, mainly the anti-theft protections and security enhancement to both the messaging hub, as well as the [plan] [ph]. We have two confirmed new releases, 10.3.3 and 10.3.4, on the roadmap. These releases will further emphasize security and privacy and maintaining BB10 as the industry's most secure device platform. The key takeaway here is really that we continue to lead in mobile security and now we are bringing the BlackBerry security know-how into the Android ecosystems. As a result, we believe we can address a larger and growing segment of the enterprise space and we believe we could be a leader in this space. To address profitability directly, we continue to streamline our infrastructure and reduce operating costs from our device business. We took additional action in Q2, and we will see the benefit more meaningfully in Q4 and beyond. We also reallocated a lot of internal resources to align with our growth strategy. For example, as of now, over 50% of our head count in the company is in software and global sales. The second area of focus related to the monetization of the IP patents. In Q2 we did not generate any IP licensing revenue after closing two significant transactions in Q1. Licensing of IP assets is part of our strategy to increase profitability and growth. We have a reasonable pipeline of opportunity in the second half of the FY '16 however we are working to generate royalty revenue where possible, to make our business more recurring and more predictable. Lastly, I'm focused on increasing the size of our software business to accelerate revenue growth. There were both organization and product developments in the past quarter to highlight and, of course, our M&A strategy is also important to this end. So in mid-July, Carl Wiese joined BlackBerry as President of Global Sales. Carl has spent 13 years at Cisco in sales leadership role, focused on growth strategy for their collaborative business, which is now running, I believe, at $4 billion. I'm looking to Carl to bring a similar focus to BlackBerry enterprise software business. On the product front, we are differentiating our platform with an ongoing emphasis on security and cross-platform [indiscernible]. During the quarter we shipped new releases of BES12, 12.2 for those who care, the cloud version of the BES as well as the integration of WatchDox and a new release of WatchDox software also. WatchDox, of course, is our secure electronic file sync and share platform. Each of these releases includes enhancement support for Samsung KNOX and Android for Work. In addition, The BES12.2 is designed to support the [indiscernible] certification for the BB10 in the government space. On the M&A front, we [indiscernible] our investment in software. This, of course, reflects our confidence in our free cash flow outlook and our current cash situation. Our recent announced investment in AtHoc and Good Technology will provide both near and long-term benefit. By the way, AtHoc, as I said, closed this week, in the beginning of the week, and Good Technology will close towards the end of the year; I hope towards the end of November. I need to clarify two misperceptions from reading the research notes from our Good announcement. The first deal with the degrees of product overlap with us between BlackBerry and Good. The second is on opportunity for our cost synergy. So I'll take the first one first. BlackBerry and Good have strength in non-overlapping areas. This is one of the major reasons why this acquisition is so attractive to us. BlackBerry is strong in cross platform MDM and a lot of the value added service, as you know. We also have a growing base of Android users to go with our BB10 base, as well as the BBOS base. Good is good at mobile apps management and bringing a larger base of IOS users and I believe they are 64% of their licenses on IOS. And we share a common heritage in privacy and security. Combined, we will have the broadest and the deepest platform in the EMM space. On the cost synergy side, we will have full integration plan on day one. We will move quickly, especially in the back office functions and by eliminating duplicated infrastructures. We are targeting a 30% reduction in combined enterprise infrastructure costs at the start. To reiterate expectation we provided on September 4, we expect significant operating expense synergies allowing us to be cash flow and earning secretive within the first years of the combined acquisitions. We anticipate approximately $160 million in GAAP revenue from Good in the first year. This includes the impact of an expected write down of certain deferred revenue of Good. Our model also excludes deferred IP license revenue from BlackBerry and factors in modest degrees of revenue attrition, due to the limited product overlap. Moving on to AtHoc, which is a software company specialized in secure, cloud-based communication. This is a business extremely well-aligned with our strategy and our core vertical, such as government and public sector. A case in point is AtHoc's recent win with the TSA, Transportation Security Agency, which will enable protection in crisis communications to over 200 major airports. A win like this highlights the opportunity we have to leverage AtHoc solutions in our core verticals and across our much larger global footprint and much larger government customer base. On longer term, AtHoc will be integrated with our BBM and some of the enterprise offering and will be a key component of our IoT platform. Both Good and AtHoc have subscription revenue model. We will focus on growing, based on this recurring revenue going forward. Before summarizing and handing the call to James, I would like to make a final point on balancing cost reduction versus investment in global area. To be sustainably profitable, we need to grow the top line. In Q2, we decided to invest in our Android strategy, which we outlined just now, and the go to market effort in software. Obviously, there's a balance between making these investments and the near term focus on cost reduction and profitability, but to be clear, this does not change our fiscal year 2016 objectives. We are planning to be free cash flow positive each quarter and profitable in Q4 and going forward. Device revenue should be stable next quarter and we will see the benefit in Q4 from the launch of Priv, our new Android device. Software should continue to grow in double digit. IP licensing should also contribute in the next two quarters. For Q3, we should see a slight uptick in total revenue from Q2. By Q4, our model shows that Software and Services revenue should offset the decline in sales. This will be the first time in three years. And a further sequential uptick on overall revenue at that time. So we believe we are on track to reach our 500 million software and services revenue for the full year. We will continue to pursue the current M&A strategy to drive our growth in software and IoT, however we'll be more likely focused on the tuck-in opportunities in the near term. I expect to maintain a cash balance of 2.5 billion, as we communicated in the past, for the foreseeable future. That is 2.5 billion, taking into account the recent and future potential M&A investments. Based on our expectation for continued free cash flow, I'm announcing our intention or actually, I got the board approval to increase our current stock buyback program by up to additional -- another additional 15 million shares. I believe our current buyback that we announced a couple of months ago has 6 million shares left. So, this will become 21 million shares. Now, I will turn the call over to James for a detailed review of our financial performance.
James Yersh: Thank you, John. And good morning, everyone. Today, we reported Q2 GAAP revenue of 490 million and non-GAAP revenue of 491 million, with GAAP EPS of 10-cents and the non-GAAP loss per share of $0.13. Before I dive into our details, as you probably noticed, we are changing our non-GAAP income statement presentation to exclude purchase accounting deferred revenue write-down, stock based compensation expense, and amortization of purchased or acquired intangibles as part of the M&A transactions. This presentation is consistent with the predominant practice in the software industry. We also believe this methodology is appropriate because our increased emphasis on software and our acquisitions of software firms with material recurring revenue streams. With this in mind, my comments on our financial performance for the quarter will be in non-GAAP terms unless otherwise specified. For reconciliation between GAAP and non-GAAP numbers please see the earnings release and the supplement published earlier today. Now, let me begin with the income statement. Our total revenue for the second quarter of $491 million excludes the impact of a 1.3 million purchase accounting deferred revenue write-down for WatchDox. Software and Services represents 15% of revenue and grew 19% on a year over year basis. Service access fees for SAF were 43% of revenue. The SAF decline was in line with our expectations for roughly 15% quarter over quarter decline. And we continue to model a decline of approximately 15%, for the next quarter. Lastly, our hardware business represented 41% of revenue. We recognize revenue on approximately 800,000 units. ASP was approximately $240, roughly in line with last quarter. Turning to margins, gross margin was 40.9%, compared to 47.5% in the same prior year quarter, and in line with our expectations. Gross margin was negatively impacted by low hardware volumes and the continued decline of SAF. We continue to expect gross margin in the 40% range for the next quarter. Operating expenses were 285 million, down from 415 million in the same prior year quarter. Our non-GAAP operating expenses excludes 71 million in restructuring charges, 11 million in amortization of acquired intangibles, 13 million in stock-based compensation expense, and a noncash credit of 228 million for the convertible debt. As a reminder to everyone, as I do every quarter, this noncash adjustment to the debt has no impact on its face value, on our liquidity or operations and cash flow. Operating loss was 84 million, largely due to amortization expense, excluding acquired intangibles of 152 million. Our adjusted EBITDA this quarter, which excludes restructuring charges, the debenture adjustment, and stock comp, was a positive 68 million. In the quarter, we had a noncash tax recovery of 30 million. Now, moving on to our balance sheet and working capital performance. Our cash balance increased by 37 million, compared to last quarter, and as John previously mentioned, this increase reflects 47 million spent during the quarter off the buyback. Total cash, cash equivalents and investments ended at 3.35 billion. Our net cash position, adjusting for the $1.25 billion face value of the debt, stands at 2.1 billion. Aggregate contractual obligations, which includes purchase orders, operating lease obligations, interest payments and other goods and services utilized in operations, amounted to approximately 1.1 billion, down from 1.6 billion in the same year ago period. Purchase orders with contract manufacturers represented approximately 248 million of the total, down from 344 million in the same year ago period. Moving to the cash flow statements, excluding the impact of foreign exchange, we generated positive free cash flow of 100 million. This is our sixth consecutive quarter of positive free cash flow. Looking forward, we expect to remain cash flow positive, and forecast sustainable profitability in the fourth quarter of FY '16. Given the de-risking of our balance sheet and the continued ability to deliver positive free cash flow we expect to maintain a balance of 2.5 billion or higher, including the impact of our acquisitions and our buyback. That concludes my comments and I will turn it back over to John.
John Chen: All right, thank you. Operator, we are ready for Q&A, please.
Operator: Thank you. [Operator Instructions] We'll go first to Daniel Chan with Scotia bank.
Daniel Chan: Hi, good morning, thanks for taking my question. John, BB10 has been out for nearly three years now and you've launched a number of new products like the Passport and the Classic recently. But that business continues to lose market share, device volumes continue to decline and with only 800,000 devices in the last quarter, when do you throw in the towel on BB10 and just say I'm going to focus on Android?
John Chen: Well, first of all, we'll have to make sure that Android is successful first. That's a good question. There is a very loyal base in the BB10, especially the government and some highly regulated industry customers. So we will have to see whether we can make money off that base, but in addition to that, if our plan of doing the BlackBerry Android type of implementation works well and the security side of the equation is well accepted by the governments and this base, of course we could then replace them or merge them into it.
Daniel Chan: So then as a follow-up you say you're going to be securing Android on your own. Is that going to be your own security solution or is that going to be using Samsung KNOX?
John Chen: No, no, it's not Samsung KNOX. We're actually working with Google on this.
Daniel Chan: Okay. Thank you.
John Chen: Sure.
Operator: We will go next to Mark Sue with RBC Capital.
John Chen: Hey, Mark.
James Yersh: Morning, Mark.
Paul Treiber: Oh, thank you. It's actually Paul Treiber at RBC. Mark is unfortunately traveling at the moment. Just, what's the magnitude of the investment needed to bring the Android device to market in comparison to supporting the BlackBerry 10 device? Or, in other words, is it more cost effective to bring the Android device to market than the BlackBerry 10 device?
John Chen: Absolutely. Because a lot of the drivers for the all the chipset are already in place, I don't have to spend any time managing money for drivers. I also don't have to do anything regarding the apps ecosystem or the API surrounding that. So all I need to do is to concentrate on security and the privacy features and add it to that ecosystem.
Paul Treiber: And then is there a similar relationship that you have with your contract manufacturers where they're taking on some of the inventory management or are you taking that on in the reference?
John Chen: Oh, yes, we have both. So to clarify that, we have both arrangements. We have ones that we will take inventory, or at least parts -- I call it the unique parts exposure. Then we have one that we don't, as you well know. So this, of course, will continue, whether it's an Android device or a BlackBerry 10 device. So there's no difference here.
Paul Treiber: Okay, good to understand. One last one from me. Just in regards to the 33% growth in software license revenue, what's the organic growth excluding recent acquisitions?
John Chen: OCR organic. You can see the difference between the WatchDox non-GAAP, GAAP, it's like 1 point some million. And we just finished AtHoc and we haven't finished Good yet. So they are all mostly organic.
Paul Treiber: Okay. Thank you.
John Chen: Sure.
Operator: We will go next to Maynard Um with Wells Fargo.
John Chen: Hi, Maynard.
Maynard Um: Hi, good morning. Thank you. Can you just clarify if your guidance includes the Good Technology acquisition? Because you noted before that it would be accretive within the first year, but I'm curious if you can talk about immediately after close, will you still have non-GAAP profitability and continued positive free cash flow?
John Chen: Yes. First of all, continued free cash flow taken into everything, including the Good Technology acquisitions, and the integration of that. You are talking about the non-GAAP profitability in Q4, correct?
Maynard Um: Correct, yes.
John Chen: That also includes all the acquisition.
Maynard Um: Okay. It is inclusive of the acquisition. So how do we think about then the -- well, I guess you gave the cell phone number. The other question I had, it just seems like on the revenue growth is partially predicated on the new Priv handset, but can you just talk about your plans for distribution? Because if I look at the Android market, it's very highly competitive. So I'm just curious, one, how you distribute it? Two, what the ASPs look like, and then more importantly, the gross margin profile of the device?
John Chen: Yeah, we have not released the ASP, the gross margin part. You'll have to wait for a little bit on that one. The reason why I kind of "jumped the gun" to make the announcement today is because it's leaking everywhere and I didn't think that it makes total logical sense for us to have this conversation when it's leaking everywhere and I won't talk about it. So we're confirming the fact that we are bringing our security know-how onto the Android ecosystem and we built a phone with the help of a lot of people, including working with Google, which tie up to also the Android for Work in the BES12 strategy. So everything kind of comes together. We've been working on this strategy for a long time, unfortunately it leaked, so I think it's best to let everybody know. And then so we have a much more sensible discussion. As far as pricing, we have a pricing. We are working with literally all the major carriers. The distribution strategy, you have to wait a little bit on that because we do have some choices.
Maynard Um: Okay. And should we expect any BB10 devices, as well, through this calendar year?
John Chen: For another new phone you mean?
Maynard Um: Yes.
John Chen: No, we don't have a plan for another BB10 device for this year.
Maynard Um: Okay. Thank you.
John Chen: Sure.
Operator: We will take our next question from Steven Li with Raymond James.
Steven Li: Great, thanks. John, if I recall, EZ Pass had until July to deploy their traded-in licenses. How much of EZ Pass has now converted? And if they have not deployed, does that mean they plan to use something else? Thanks.
John Chen: I don't actually know. I haven't tracked that number. So, I'm sorry for that. But we will be able to tell you later, and we'll find out. But, I haven't really focused on the EZ Pass right now, because we kind of took a little different direction. We are driving a lot of their license into subscription. And so it wasn't really focusing on converting that base. We are obviously focusing on converting the base, but we're not focusing on moving the EZ Pass.
Steven Li: So, the [23%] [ph] growth year over year in software licensing, earlier you mentioned BES12 is a driver. So, this is not EZ Pass driving that growth?
John Chen: No, this is not-- Well, it may have motivated by EZ Pass as a conversation, to start, with the account, but no, it is not. And we are driving very hard on subscription. So it's been -- it's been moving up quite a bit.
Steven Li: All right. Great. Thanks.
John Chen: Sure. Absolutely.
Operator: We will go next to Richard Tse with Cormark Securities.
Richard Tse: Hey, how you doing? Quick question here. Our math, basically, when you look at the pricing of the software, it seems like you guys have priced this fairly aggressively, based on how we back into the gross margins. Is that the case here or are we missing something in terms of that calculation?
John Chen: Well, aggressively-- I would say that, yeah, we -- we believe we priced it at market. And, our competitors are giving very large discount. We don't normally give those large discount at all. So that's probably the best way to think about it.
James Yersh: Yeah, and -- Richard, it's James. Just one thing to add with that. Remember, John said that there is kind of a movement towards subscription. So, depending on what it is your math is doing, that may be skewing it as well, but --
John Chen: That's true. That's a good point.
James Yersh: We can take that one offline.
John Chen: That's a good point, yeah.
Richard Tse: Okay. Thank you for clarifying.
John Chen: Sure.
Operator: And we'll go next to Amitabh Passi with UBS.
James Yersh: Morning, Amitabh.
Amitabh Passi: Good morning. Hi, guys. I had a couple questions for you. I might be mistaken, but I think this is the first time you disclosed the acquisition price for AtHoc. So, given the $250 million you're paying for the company, I'm just curious, should we expect something like $40 million, $50 million contribution to revenues next quarter from AtHoc or is that number too high?
John Chen: Not next quarter. If it's next quarter, my friend, you send me those [indiscernible] all day long! I think that's a good representation.
Amitabh Passi: Okay.
John Chen: You are in the ballpark.
Amitabh Passi: Okay. Thank you. Because I know some of these software multiples have been all over the place. So, I just wanted to clarify --
John Chen: Yeah, we don't pay that high. We pay strategically. We don't pay that high.
Amitabh Passi: Got it. And then, I guess, James, just on the OpEx, that's a lever you guys have continued to flex quite nicely. I'm just curious, as we look over the next two-three quarters, four quarters, from the 285 million, how should we be thinking about OpEx going ahead?
James Yersh: Well, we've got a number of things going on to kind of add to the complexity, Amitabh. Because, as John kind of said, and as I have said, the trend has been down and we have done some things that we only had partial impact of Q2, which you would continue to think you get the full quarter in Q3. So, the trend for our -- let's call it regular business would be down or our legacy business, if you want to call it that. We will go up because of AtHoc and OpEx will go up because of the Good transaction, once that closes and we get clearance there. But, remember, we will get revenue and margin contributions from that too. So, f you sum it all up, it's probably flattish, I would say, maybe even slightly up, once we are done with all of that. But, it's important to recognize in that comment what we're going to get on the top line as well.
John Chen: Yeah. Actually, let me add one thing. That's a good point, James. Remember, we all said about a year ago, we were talking about stabilizing the company, the business, and focusing on cash flow from operation. I think we have accomplished that. This year, as we said, we're going to stabilize the revenue, and unfortunately, we have a really low point here. But we do expect Q3 to level up and maybe even up a little bit, and then Q4 to go up from that level, and as I pointed out, I think we are all very focused on one key psychological win which is our software revenue eventually will cover these -- the growth will cover the decline of the SAF and those two equations will converge, maybe that's a way to put it. And that we expect in Q4. So we are now -- we do have to invest a little bit in growth, but as James pointed out, that growth will come with some revenue, and it will come with some revenue with good margin.
Amitabh Passi: Okay. All right. Thanks, guys.
Operator: We will go next to Todd Coupland with CIBC.
Todd Coupland: Good morning, everybody. I just wanted to clarify your expense expectations on Good. I think you said you'd get a 30% reduction immediately or early on. Could you just ballpark the base you are starting from on Good? Is that at 250 --
John Chen: Well, so, if you think about -- we are expecting 160 million GAAP revenue for the next 12 months -- I mean, 12 months after we close, sorry. 12 months after we close, so it's November until November, I suppose, if we close it in November. And in one year, we will be accretive, both cash flow and profitability, and then you know that we will not be able to spend 160 million. That's not the path, right? So I think initially, we could take 30% out of that cost infrastructure, and then you will continue to take down in expenses until we reach that point in Q4. So I don't -- we don't really disclose the actual number of Good, because I don't think that's appropriate for me to do that. You have to dig around that a little bit because they are not part of us yet.
Todd Coupland: Okay. Okay. I thought I had seen a number out there of 240 million. That was in their filing, but -- and --
John Chen: Maybe. Maybe.
James Yersh: Definitely not from us, Todd.
John Chen: Not from us.
Todd Coupland: And then just to clarify James' recent statement on total OpEx: so are you saying by Q4, with all the puts and takes, the two acquisitions and the reduction in SAF costs, that total OpEx will still be at 285, including Good?
James Yersh: Yes, I think that's a fair comment, Todd.
Todd Coupland: Okay. Great. Thanks very much, guys.
John Chen: Absolutely.
Operator: We will go next to Rod Hall, JPMorgan.
James Yersh: Hi, good morning, Rod.
Rod Hall: Good morning, guys, thanks for the question. I guess I'm going to back up and ask a bigger picture question. It seems like you've maybe accelerated your acquisition strategy a little bit or increased it a little bit. I'm just curious if you could maybe walk us through what your strategic thinking is on the turnaround? Did you -- have you changed your point of view given numbers really haven't come through quite as well as you thought they would, or is this sort of still plan A? So I wonder if you could comment on that and then I'm going to follow up.
John Chen: Good question. I think Q2, the numbers are lower than I expected and like -- and are -- but that set us up for reasonable trend up in Q3 and 4. So I would say that I'm still at where I started with the so-called plan A. I think those acquisitions that we made will help a lot -- go a long way. We have some very exciting products that we are developing in house here. We haven't seen the full impact of our IoT investment and that will come. So yes, I'm still on my plan.
Rod Hall: Okay. Thanks for that. And then the follow-up, I just wondered if you guys -- I don't know if you mentioned it, it I don't think so, the proportion of the units coming out of Fox Con, can you update us on how that deal is going and what unit proportion looks like.
John Chen: The deal is going fine. I just need more volume. The deal is fine. The relationship is great. They have been helpful and nothing is wrong there.
Rod Hall: Can you give us any -- can you quantify the proportion or --
John Chen: No. No. I don't think I should split out that.
Rod Hall: Okay.
John Chen: Sorry, I don't think we should spit out that. But as far as the relationship and the handshake and all the working things, it's all working as planned.
Rod Hall: Okay. Great thank you.
John Chen: Sure.
Operator: And we'll go next to Michael Kim with Imperial Capital.
Michael Kim: Good morning, guys.
John Chen: Good morning.
Michael Kim: So can you talk a little bit about BBM and where you're seeing the strongest reception with its meeting the protectors and the bundles and where you might need to see more work or education to customer base and general comments on how that's progressing?
John Chen: Okay. BBM, the contribution of BBM is still below our expectation on revenue, but if you only look at kind of the year-over-year growth is almost infinity because of that. Everybody is laughing here, by the way. So ignore that comment, please. So we do have a trend up in revenue. Mostly the receptivity areas are really more in Asia, particularly Indonesia. Our BBM MAU has been rather stable. It's about 91 million MAU. And we're pursuing a lot of plans and partnerships to drive that up. BBM protected is starting to see pipeline and we need to close some of those. That's the only thing that we have to do. But the interests are definitely out there. We have closed a few very big accounts, but we need to close more of them.
Michael Kim: Got it. And then earlier in your prepared comments you talked about QNX as a growth driver in the quarter. Was that an automotive vertical or were there other use cases that are starting to gain more momentum as IoT and how are you seeing that maybe cross leverage?
John Chen: Mainly automotive. On the IoT side, we just finished our cloud about a quarter ago and we're putting a little bit of a finishing touch around some of the products and so we really haven't really completely "rolled out and delivered" into the customer's hands. We are still in kind of the early stage of that. We are building both professional services organizations, as well as sales organizations around it. That's the new investment that we have been making in Q2 and we have been making all along, but we also made it in Q2 and we will make more of that in Q3. And when the go-to-market team is ready, you will see IoT revenue, or we should expect to see IoT revenue. But so far, it's still very skewed to automotive.
Michael Kim: Okay. Great. Thank you.
John Chen: We won a couple of big ones. [indiscernible] is tied to that.
Michael Kim: Got it. Great. Thank you much.
John Chen: Sure.
Operator: We'll take our next question with Tim Long with BMO Capital Markets.
John Chen: Good morning, Tim.
James Yersh: Hi, Tim.
Tim Long: Good morning. Thank you. Two, if I could. First, just getting back to the device gross margin. It looked like we were back firmly in positive territory. James, I know you said volume, was there anything else on the sell in, sell through or any of the other dynamics that caused that to be more deeply negative there than what we've seen in the last few quarters? And then, back to the integration with Good, I think, John, you said it'll start day one. I'm just curious. BlackBerry, historically with the migrations through BES, there's often been some backward compatibility challenges. How do you think that's going to work with Good? So you'll have multiple platforms, not just one that's been fully internally developed. So how do you think customers will feel about the ability to leverage their existing architectures? Thank you.
James Yersh: Sure, Tim, back to your first question, can you clarify what you said around devices margins, what your model is showing?
Tim Long: Yeah. It looks to us if software margins were stable, we were down in the deep negative teens for hardware gross margins. So, I'm just curious after a few quarters of break even or slightly positive, why that went much more negative.
James Yersh: Yeah. And it is back to my prepared remarks, and thanks for clarifying that. It is mostly a volume case. There's nothing sell in, sell through, accounting or anything else really going on there. As you know, we still have a big pocket of fixed costs that are related to devices and if we are not getting the volume contribution, that's really going to weigh on margins and overall device profitability. So nothing else going on there.
Tim Long: Okay.
John Chen: Okay. On the BES, Tim, and the integration, I can only tell you really limited, and we will be ready to tell the market on the first day when we get approval. I just wanted to remind everybody we are in the process of getting HSR, the antitrust approvals, so all of my remarks have to be extremely careful not to skew any of the decision or the directions. So I have not made any public comment regarding this. So the only thing you need to know is, because of the -- we thought about it long and hard, and decided on Good Technology because of the fact, that our MDM solutions is more modern and robust, maybe I'd say that, and their application management layers are a lot better than ours, which we were starting to build our own. So there is some natural synergy there and the customer actually sees it. And the customer likes our support infrastructures and that's come through loud and clear. I think the customer will all -- once they see our plans and roadmap, I think they will be very comfortable. I've already got some very strong customer endorsements. I just couldn't engage with them at this point
Tim Long: Okay. Thank you.
Operator: We will go next to Deepak Kaushal with GMP Securities.
Deepak Kaushal: Hi guys, thanks for taking my questions. I've got one admin one and then a follow-up, a bigger picture, if I may. I guess you've you given us a sense of Good and AtHoc revenues and WatchDox. What kind of revenue contribution did you -- have you been getting from Secusmart and Movirtu acquisitions?
John Chen: Well, those vary. Movirtu is virtually none, because right now, it's being tested at Vodafone in Germany and in the UK. I think there's final testing going through, and they were supposed to roll out sometime in the second half of this year. So somewhere between Q3, Q4, it will be rolling out to the market. So Movirtu is very early, and when we acquired Movirtu they didn't have any revenue. I think they had one salesperson. That was it. So zero on that. Secumart -- our levels are low, very single digit type million. It's mainly primarily because of the great relationship we then have with the German governments, and a lot of different governments around the world. So it will start growing. There's a new product and it's called SecuVoice which is a software phase product of the Secusmart SD card version. That will be a lot more easier to implement with enterprises, rather than -- because SD card version are mainly a very government-oriented. So we should see some of those -- We have not really gotten a lot of M&A oriented revenue but it was planned as such, anyway.
Deepak Kaushal: Okay, great. Thanks. That's very helpful. And then when you look at your cash balance, your war chest for acquisitions, you talked about tuck-in acquisitions, but I wanted to ask you, John. Most of your acquisitions so far have been around EMM or device security. What about the broader enterprise security market? Do you see opportunities to do acquisitions in that front or are you just content to consolidate the device management market or grow new technology in that market?
John Chen: Well so far our strategy is really -- all the acquisition strategies surrounding different modes of communications in mobile. So Secusmart is voice and text. Movirtue is personalization containers. Two numbers. Good, of course, is EMM. WatchDox is file sharing collaborations, mobile based, obviously. And AtHoc is emergency messaging, secure messaging transport. So if you could think about it, you could write it on a piece of paper, you will figure out very soon, quickly that it is about mobile communications and everything we do from data to voice, to text, and messaging. And it fits well with our current BES12 strategy, and it fits well with the BBM strategy. And so that's why -- that's been focusing on that. I'm not kind of wandering onto a different space at this time, because I think it's important for us to be very focused and win a segment of the market, but that's not to say that in the future we won't be interested. We've got to rebase ourselves and start growing consistently first. Does that make sense to you?
Deepak Kaushal: Yes, it makes a lot of sense. Thanks. I appreciate that very much. I'll pass the line.
John Chen: Sure.
Operator: And we'll go to our last question from Anil Doradla with William Blair and Company.
James Yersh: Good morning, Anil.
John Chen: Good morning.
Anil Doradla: A big question. You know, when I look at the enterprise mobility management market, when I look at your competitor, such as MobileIron and look at you guys, I think the bigger question I have is this: Are we dealing within a business model where the pricing is depressed? Because, when I looked at this whole Good Technologies and MobileIron, the belief was that this is a high growth area. But we're not seeing that. So, I'm trying to understand what is going on in this market.
John Chen: Yeah. I have two views on this. First of all, the reason why everybody expects it to be high growth is, I think the market -- the number of licenses combined in all the players are about 10% of the available mobile devices out there. So there is 90% of this open space that we could tap into, and everybody is this thinking about it that way. Now, I think about it a little differently. I think about managing endpoints. I think about managing IoT. I don't really think about managing only EMM. But, EMM just happens to be the next monetizable space. One of these days we should sit down and talk about that. This is why we're spending so much money on the IoT side and the embedded side. Because of that, if it's only doing EMM, I'm afraid that one of these days we all wake up and then these EMM are given away for free. So, there are two things that we have been doing and number one, it's to focusing on making a much broader strategy than just EMM, with our BES. And this is where the IoT and the embedded space and QNX comes in. And the other part of the strategy is the value added services. This is the reason why we are so focused on having WatchDox and AtHoc and all of that is because we believe the customers will probably pay very little for the base platform, which is the EMM platform, but they will pay a lot for the applications that runs on the base platform, which is, of course, my file sharing, sync, and my alert messaging systems. It really is a horizontal apps to them. And I don't know whether that makes sense to you, but it is our plan. We know-- we agree with you that just based on EMM strategy, it's not going to be -- it may be okay for a little while, but it's not going to be a very long term thing.
Anil Doradla: Great. Thanks a lot.
John Chen: of course.
John Chen: Okay. I should wrap up. Let's see, I have prepared notes for that, probably. Okay. Well, actually I don't have any notes. Okay. Well, thank you for joining our call today. And I will look forward to talking to you guys throughout the quarter and definitely next quarter. And where we should see an uptick in revenue. Thank you and have a good day.
Operator: That concludes today's conference call. Thank you for your participation.